Operator: Please stand by and we’re about to begin. Good day everyone and welcome to Gannett’s First Quarter Earnings Conference Call. Today’s call is being recorded. Due to the large number of callers, we will limit you to one question or comment. We greatly appreciate your cooperation and courtesy. At this time, for open remarks and introductions, I would like to turn the call over to Ms. Gracia Martore, Chief Financial Officer. Please go ahead mam.
Gracia Martore, Senior Vice President and CFO: Thanks very much and good morning. Welcome again to our conference call and webcast today to review Gannett’s first quarter results. We hope you’ve had a chance to review the press releases we issued this morning, which also can be found at www.gannett.com. With me today are Doug McCorkindale, our Chairman; Craig Dubow, our President and CEO; and Jeff Heinz, Director of Investor Relations. Since many of you heard our presentation at the mini-luncheon just a few weeks ago, we’ll keep our comments this morning relatively brief. As you saw in the press release this morning, Gannett earned $0.99 per diluted share this quarter compared to a $1.03 per share for the first quarter of 2005 on a continuing operations basis and consistent with late March. I’d like to briefly detail a few areas before I turn it over to Craig. The trends we discussed in late March with you all held for the balance of the quarter. Overall, our results reflected ad demand growth at both our domestic community newspapers, particularly in classified real estate and employment. This growth was offset by results in the UK, where ad demand has continued to be very soft. Our broadcasting segments generated record revenues benefitting from ad demand related to the Winter Olympics on our NBC affiliates. Craig will discuss our operations in more detail in a few moments. Several additional factors had an impact on our reported results this quarter, so let me give you a few of those details. Firstly, we began expensing stock-based compensation. The non-cash, pre-tax cost was approximately $11.2 million. About $6 million of that was attributable to the newspaper segment, while roughly $1 million was allocated to broadcasting and $3.6 million to corporate. After tax, the charge was approximately $7 million or $0.03 per share. We completed the expansion and reorganization of our Texas and Mexico newspapers partnership with Media News Group on the last day of our 2005 fiscal year. As you may recall, we contributed one Pennsylvania newspaper and Media News Group contributed three. As a result, our interest in the partnership is now a little less than 41% and Media News Group has become the managing partner. Our percentage of the net results of the partnership is included in other operating revenues rather than fully consolidated in the financial statements. And this treatment is similar to our California newspapers partnership investment as well. And as we’ve discussed previously, also affecting our reported results in the quarter was the reorganization of the Detroit Newspaper partnership that we completed in August. The full consolidation of 100% of Detroit’s result had an impact on both revenues and expenses for the full quarter and our margin for the newspaper segment as we’ve explained previously. Finally, the exchange rate, as we mentioned in March, created a headwind for us as it averaged 175 this quarter versus 189 a year ago. So the decline had a negative impact equal to roughly $0.02 per share. Since these items had a significant impact on our expenses this quarter, let me sort out some of the comparisons to give you a clearer picture. As you saw in the press release, overall, our reported expenses were up 10.8%. However, excluding stock-based compensation expense and on a pro forma basis, costs for the companies were held to an increase of only 6/10 of 1%. Drilling down a little bit in the segment, on the newspaper side our reported expenses increased about 11%, again on a pro forma basis, and that is assuming we owned 100% of Detroit and the other newspapers or the same complement of properties in the first quarter of 2006 and 2005, newspaper expenses would have been less than 1% higher. However, excluding stock option expense, newspapers segment expenses were up very modestly only 3/10 of 1%, and that includes a significant increase in pro forma newsprint expense. The reported increase in newsprint expense was almost 14% in the quarter, comprised of a price increase of 9.6% and almost 4% greater usage. Detroit and the other acquisitions again had an impact on this area as well. So, on a pro forma basis, newsprint expense was up about 6% with usage down 3.6% and prices up about 10%. Turning to the broadcasting segment, operating expenses were up 4.6% on a reported basis. Excluding stock-based compensation expense, our costs increased only 3.4%. And the last piece, corporate reported expenses were $3.7 million higher due almost entirely to stock option expense. If you exclude those costs, corporate expense would have increased only about $169,000. Before I move to the balance sheet, let me provide a quick update on newsprint. We have term fixed price arrangements covering a majority of our newsprint requirements, as you know. This resulted in stable pricings for Gannett through the first quarter despite an announced February price increase. General market prices in North America did not rise in February as planned by the producers. Throughout March, that announced increase also continued to struggle to gain traction as publishers stayed focus on conservation efforts such as web link reductions, conversions to lighter weight newsprint, and we also saw a decline in exports. Now, turning to the balance sheet, total debt at quarter end was $5.2 billion and cash and marketable securities were $66 million. At this point, our own cost of debt is 4.9% with commercial paper at 4.75%. With respect to shares outstanding, basic shares at the end of the quarter and the quarterly average were both 237.8 million shares. On the capital expenditure side, we had approximately $41.2 million of expenditure in the quarter. At this point, we are still on track to spend about $240 million on CapEx for the year. During the quarter, we also announced that we made a minority investment in 4INFO, a company that offers a comprehensive suite of mobile search services, and we also entered into a marketing and distribution agreement with them for the entire company. Finally, I need to remind you that our conference call and webcast today may include forward-looking statements and our actually results may differ. Factors that might cause that to happen are outlined in our SEC filings. This presentation also includes certain non-GAAP financial measures, and we have provided a reconciliation of those measures to the most directly comparable GAAP measures in the press release and on the investor relations portion of our website. And with that introduction, I’ll turn it over to Craig.
Craig A. Dubow, President and CEO: Thanks Gracia and good morning to everyone. At the mini-meeting in late March and as Gracia summarized, we told many of you that results for the quarter to the domestic community newspaper were positive, although we were seeing some significant geographical divergence and auto remain challenging. At USA TODAY, results were choppy, while the ad environment in the UK continued to be very soft and ad demand for the Olympics and Captivate were continuing to contribute to positive results at our broadcasting segment. Now that the quarter is complete, let me fill you in on some details on our results starting with our newspaper segment. Reported newspaper operating revenues advanced 6% for the quarter and includes the full consolidation of Detroit and Tallahassee, which we acquired in an asset swap with Knight Ridder. Assuming we own the same newspapers in both years, total advertising revenues in the newspaper segment declined to almost 2% for the quarter. The exchange rate also had an impact on the revenue side. On a constant currency basis, ad revenues would have been down only slightly. Our results in the US were significantly better than those in the UK with US ad revenues up 1.5%. Let me review some of our category results. One caution first, Easter is later this year and that has had some impact on how individual categories fared. As in the past, we suggest you combine March and April results for comparison purposes. Although classified advertising company wide was down close to 2%, domestic classified advertising advanced over 4.5%. Real estate advertising for the entire company increased 12% in the quarter. Real estate ad demand grew progressively through the quarter with March finishing up over 15%. Again, US results in real estate were stronger than the UK. For the US community newspapers, real estate increased over 22% for the quarter and also finished strongly in March with an increase of over 31%. Positive results were posted in most of the regions, although as Sue Clark-Johnson noted in our mini-presentation “Strength came from the South and West groups.” We experienced similar trends in employment advertising. For the company as a whole, it was down almost 4% for the quarter. If the exchange rate remained constant year over year, employment advertising would have been down 1.3%. Domestic classified employment results were significantly better than our results in the UK. In the US community newspaper classifieds, employment increased over 7% for the quarter. Solid gains came particularly from the West and South groups. Automotive, as we have been saying for quite sometime, remains soft in both our domestic community and UK newspapers in the quarter, decreasing almost 17%. In our US community newspapers, the automobile category was down almost 14% reflecting declines in all regions, but most heavily in our New Jersey and Midwest papers, a trend that continues from the fourth quarter of 2005. Pro forma local advertising in the newspaper segment declined almost 2% in the quarter. In the US, local advertising was down slightly due in part to the Easter switch this year across all products -- the health, financial, and home improvement categories were positive, while department store, grocery, restaurant, and telecommunications categories lagged compared to 2005 first quarter. In our local markets, we have continued to foster and test our audience aggregation strategy. The high level of reach we are achieving has had a positive impact on our non-daily and niche publications and our online products. Revenues for our local non-daily products, which does not include the Army Times, Nursing Spectrum or Clipper Magazine continued to be strong. As we increasingly focus on our digital business, our online results have continued to grow. Online revenues for the total company including PointRoll were up about 30% for the quarter. Our domestic community newspapers contribute to that growth with an increase in online revenue of over 35%. Our latest monthly numbers from March show our domestic websites had about 24.1 million unique users and reached 15.6% of the Internet audience. In the UK, Newsquest online audience totalled 3.8 million unique visitors with 51.8 million page impressions. In addition, the CareerBuilder network continues to generate growth in revenues, up 46% compared to the first quarter of 2005. Traffic for the network also grew and averaged almost 22 million uniques for the first quarter. National advertising revenue was down 2% for the quarter, driven primarily by a 4% decline in USA TODAY’s ad revenues. Gains in the auto, technology, and telecommunications categories at USA TODAY were offset by weakness in the entertainment, travel, financial, retail in packaged goods and pharmaceutical categories. Usatoday.com generated strong revenue growth increasing approximately 19% for the quarter. Focussing on the UK briefly. Newsquest as we have been noting has been hampered in part by the consumer slow down, particularly in employment and automobiles. Revenues for Newsquest in pounds were down almost 8% in the quarter. Newsquest operating profits, again in pounds, was 19% lower. Our team at Newsquest has done a great job controlling expenses, but it’s tough to offset steep declines of 22% in auto and 15% in employment. But let me assure you, Newsquest is in a position to contribute meaningfully to the bottom line once ad demand returns. Ad demand was solid in the quarter of our broadcast division. Total revenues for the broadcasting including Captivate increased 11% and reached $82.6 million, a record level of revenues. At our TV stations, total revenues were approximately 10% higher compared to last year. Local ad revenues increased 12% while national increased 10%. Growth in both online and Captivate contributed to the record revenues. Looking ahead, the latest pacings for the second quarter overall are down in the low single digits compared to last year’s second quarter. Local is stronger than national at this point. Remember that this week’s pacing and those numbers are bouncing around. We will keep you updated in our monthly reports as the quarter progresses. Before we go to Q&A, I wanted to focus for just a moment on our strategy moving forward. Gracia mentioned our investment during the quarter in 4INFO. Mobile is just one avenue consumers are using to access content. Consumers are moving to a variety of platforms and technology for content, and we want to provide solutions for them. For that end, we made two key announcements during the quarter to amplify our focus on technology and innovation. Jack Williams was promoted to President of Gannett Digital and we created the Gannett Design and Innovation Center with Roger Ogden, who also heads up Gannett Broadcasting, as you know. The center is an important piece of our strategy for simulating innovation throughout the company. These efforts are an indication of our commitment to the strengthening of our core assets, our newspapers, and television stations while growing in dynamic digital business. We believe that there are huge opportunities out there. Our customers are using more media than ever before and we intend to be there for them. Our focus will be on providing the kind of information that our customers want most -- local information across any and all platforms. Now, we’ll stop and take your questions.
Operator: Thank you sir. Today’s question and answer session is held electronically. If you would like to signal to ask a question, please press the “*” key followed by “1” on your touchtone telephone. We do ask that you please limit yourself to one question and one followup. We would greatly appreciate your cooperation and courtesy. Also, if you do find that your question has been answered and would like to remove yourself from the queue at any time, feel free to do so by pressing “*” and “2.” Also, please disengage any new function you have before signaling just to be sure that your signal may reach our equipment. We’ll pause for just a moment to assemble our roster. And we’ll go first to Lauren Fine with Merrill Lynch.
Lauren Fine, Merrill Lynch: Thank you. I’m curious what has, I guess, improved on TV such that the pacings are less negative, and maybe specifically if you could drill down on what’s going on with auto and any expectations you have on political as it relates to the quarter?
Craig A. Dubow, President and CEO: Sure. The retail frankly for the first quarter has been slightly off overall, but when you take a look at the positive side, restaurants are up in the low-to-mid double digits, telecommunications is up, services are up, medical and dental are up significantly, media is also up, and movies and home videos are up significantly as well. The banking and finance sector is up just a little bit. Automotive, as we came to the close of the quarter, was down in the very low single digits. There was some improvement, but it has been bouncing up and down as I made a comment earlier. We are seeing some greater results at this point from obviously the foreign auto sector, but overall from the US, in composite, that’s where we are at this time.
Gracia Martore, Senior Vice President and CFO: From the political side, Lauren, we have picked up some dollars here early in the quarter but would anticipate picking up further dollars later in the quarter, particularly in late March and June. We did, however, achieve some dollars here early in the quarter, although it won’t be a big number for us in this particular quarter.
 Lauren Fine, Merrill Lynch: Okay, and then just a followup. On the nonoperating other income line, there was a big swing this quarter and I’m wondering what contributed to that, if you can give us any breakdown on what was in that line.
Gracia Martore, Senior Vice President and CFO: Sure, Lauren. There are probably 20 different items in that line at any given quarter plus or minus. There is CareerBuilder and a number of our small Internet investments and some other investments. What moved the dial a little bit in this quarter was that we were able to sell along with others our very small interest we held in the Cincinnati Reds, so that small gain on that sale is also included in that line this quarter.
Lauren Fine, Merrill Lynch: Is there a way to isolate that piece and break it out?
Gracia Martore, Senior Vice President and CFO: Since there are so many pieces in there that we would then have to break out, I would leave it to be such that normally we would expect that particular line to be anywhere swinging from plus or minus $5 million or so. It obviously had a more meaningful impact than the normal, but we’re not going to break out the specifics on it.
Lauren Fine, Merrill Lynch: Great, thank you.
Operator: We’ll go next to Craig Huber with Lehman Brothers.
Craig Huber, Lehman Brothers: Yes, good morning thank you. Gracia could you just give us the non-newsprint cash cost, year-over-year percent change, I guess adjusting for stock options, etc. And then my followup question, once you give us that please, is how much longer do you think you can maintain and use a very, very tight cost control, actually hurting the quality of your newspapers going forward, Internet franchises and so forth, assuming the ad revenues continue like this for a while? Thank you.
Gracia Martore, Senior Vice President and CFO: Sure, Craig, I’ll be happy to give you the numbers, and Craig you don’t want to jump on…our pro forma basis, excluding newsprint and cash cost and also excluding stock compensation, our cost would have been down 0.5% to 1% in the quarter. So, a meaningful job done by our folks, particularly at Newspress where there, as we said, their cost had been running below last year in I guess the 2% range. Craig, you may want to comment on…
Craig A. Dubow, President and CEO: Sure, with respect, Craig, to the tight cost, obviously we have run the business for a long, long time with a very mindful eye there. We will do nothing that will impact this from a content standpoint. We will continue as always to look at other efficiencies and new opportunities as we move forward, but rest assured that we’re not going to do anything that would impact us for the long term.
Craig Huber, Lehman Brothers: You mind if you just comment on April trends of your newspapers, they look much different than we saw in March? Thank you.
Gracia Martore, Senior Vice President and CFO: You know, it’s really too early for us to say, Craig, and we also have that slight impact of Easter between March and April. So, it’s probably a little early for us to comment on April trends other than to say that we haven’t heard in anecdotally from folks anything dramatically different one way or another on the trend side. In the UK, I’d say similarly nothing that would change the trends that we see so far in a meaningful way, at least that we’re aware of this early in the quarter.
Craig Huber, Lehman Brothers: Thank you.
Operator: Once again if you could please limit yourself to one question and one followup. We’ll go next to John Janedis with Bank of America.
John Janedis, Banc of America: Hi, good morning. I just have one question, can you just expand your thoughts on the UK recovery. I think you’ve talked in the past about typical cycles lasting about 18 months or so, is this how you still feel? Thanks.
Gracia Martore, Senior Vice President and CFO: John, if history is any benchmark for what might happen, you’re absolutely right, our management there has talked about 18 to 24-month cycles in the UK. As you know, our numbers were slightly negative in the UK starting in the first quarter of last year but really the downward momentum didn’t pick off until the second half of the year. There have been some mixed signals out of the economy in the UK. We’ve seen a positive in the last month or so on housing prices, which hopefully would go better for consumer spending, but then on unemployment claims, as of this morning, those have risen a little bit more than what was expected. So, there are a lot of mixed signals coming out of the UK economy and we’re just going to have to keep watching it as we said in our March mini-meeting.
John Janedis, Banc of America: Okay, related to that, Gracia, would this necessarily be the forming like a year end where you start to see numbers improve somewhat off of the bottom or is it just again too soon to tell?
Gracia Martore, Senior Vice President and CFO: You know, I think that we still are hopeful that in the second half of the year we’ll see some easing of the situation in the UK, but again that will depend on other factors that are beyond our control in that economy. Clearly, the folks at Newsquest have done a fabulous job on the expense side, so if we see any kind of turn-up in that economy, the pounds will start to flow very meaningfully to the bottom line there.
John Janedis, Banc of America: Thank you.
Operator: We’ll go next to Alexia Quadrani with Bear Stearns.
Alexia Quadrani, Bear Stearns: Thank you, just a question on the point on growth in the domestic trendy papers, it’s at 7% plus in the quarter, isn’t it clearly not as strong as it has been last year? Do you think you’re seeing just a less robust market place or is it a question of tough comparables? And then I have a followup question.
Gracia Martore, Senior Vice President and CFO: Alexia, obviously the top of the comps play into the equation, so we’ve had some fairly decent employment numbers for the last couple of years, but then I think also as Sue Clark-Johnson mentioned in March, we are seeing some geographic differences in frankly all of our categories where the Western part of the country and some of our properties in the South, particularly in Florida, have seen some very strong numbers both on the real estate side as well as the employment side, whereas in those properties where they are in economies that are more manufacturing based or automotive-based economies, they are clearly having a tougher time of it. So, there’s a mix of factors that are at play there.
Alexia Quadrani, Bear Stearns: And then, given how tough the newspaper environment is in the US but also particularly in the UK, which looks like it may stay this challenging for a little while now, at some point will you reconsider what your use of the cash is and maybe consider more of aggressive share buy back or dividend payments?
Gracia Martore, Senior Vice President and CFO: Alexia, I think that we’re always careful in focussing on the difference between long-term investments versus short-term cyclical factors. So, we continue to believe, particularly in the UK but also in some of the economies here in the US, that it is a cyclical downturn, that we will come out of that cyclical downturn, and that we will, based on our expense structure, reignite our growth pattern in the UK. We’ve had five years of just outstanding performance in the UK and we don’t want one or one and half years of difficulty to suddenly color our view of view of things there. We still think that we have a great opportunity in the UK going forward, likewise in the US. So, we’re careful about our long-term investment decisions versus short-term cyclical factors and how those play into the decision making. But, we continue to be focussed on a variety of things, potential small, potential acquisition opportunities. We’ve also dipped our toes back in the water on the sharing purchase front now that some of the larger opportunities such as North Cliff in the UK at least temporarily have been taken off the market, and we’ll continue to weigh what we’ll do with cash as we always have.
Alexia Quadrani, Bear Stearns: Thank you.
Operator: We’ll go next to Brian Shipman with UBS.
Brian Shipman, UBS: Thanks, good morning. I have a quick question to see if you’ve concluded whether or not to exercise your option on purchasing the other stage in CareerBuilder that you don’t own?
Douglas H. McCorkindale, Chairman: No comment, Brian. This is Doug.
Brian Shipman, UBS: Okay Doug, thank you, and related to that is use of cash. Could you clarify what you expect you might spend in share repurchases in the coming quarter or the coming quarters through the rest of this year?
Gracia Martore, Senior Vice President and CFO: Again Brian, that is on a fairly opportunistic basis and is down against other acquisition opportunities that might come up. As you know, we have a pending deal on a duopoly situation that may or may not close here in short term. There are some other things, small things that we’re looking at. So we’ll have to balance that with some of the acquisitions we do and the totality of our pre-cash flow this year.
Brian Shipman, UBS: Okay, so the acquisition price line looks relatively small at this stage?
Gracia Martore, Senior Vice President and CFO: I’m not sure if I would characterize it as small, but there are small things we’re looking at.
Douglas H. McCorkindale, Chairman: Brian, I would say that the big deals obviously on the table are occupied with others, but there’s a good flow of transactions in the digital world and some broadcasting and some print-related products too, but they’re not big billion dollar plus deals.
Brian Shipman, UBS: Okay, thank you.
Operator: The next is William Bird with Citigroup.
William Bird, Citigroup: I was just wondering if you could talk about your plans in terms of your event structure, do you have any plans to churn out your commercial flavor?
Gracia Martore, Senior Vice President and CFO: Bill, as we said before, we look at that on a fairly consistent basis. We’ve been watching short-term raises and we actually do have a shelf that would allow us to pull down about $2 billion in fixed rate dead assets, a direction we wanted to have. I suspect you’ll see us do something in the not too distant future on that front.
William Bird, Citigroup: And in the second quarter, are you seeing any signs of life at USA TODAY?
Gracia Martore, Senior Vice President and CFO: It depends on the category Bill. Clearly, travel has been a negative bear, but then they’ve had terrific success on the auto front where their numbers are up very solidly and USA TODAY has always been a terrific forum for brand promotion. It’s really been choppy as Craig just said. We’ve seen the month to month numbers that have varied quite largely, so we’ll just have to see how the numbers spray out and we’ll keep you posted in our monthly driven stat reports.
Craig A. Dubow, President and CEO: The only addition to make there would be in the telcom category as…that has been for them. I would certainly anticipate continuing, and then also to a smaller or lesser amount in the home and building categories, but those appear to be moving forward consistently for us at this time.
Operator: Next is Debra Schwartz with Credit Suisse.
Debra Schwartz, Credit Suisse: Hi, thanks. I’ve a quick question on your online revenue. I was wondering if you could comment and where you’re seeing the strongest online revenue growth between classified, retail, and national, and if possible if you could just give us the sense generally speaking of what percent of your revenue comes from each of the categories and online?
Gracia Martore, Senior Vice President and CFO: Debra, I’ll have to get back to you just where I will have to get back to you with the specific breakdown on the online revenue, but I’d say that we’re seeing actually pretty good growth almost across the online spectrum, good growth in classified as we continue to do a good job on the employment side, CareerBuilder continues to be a big plus for us, and on the cars.com side as well we’ve done a very nice job, but then we’ve also ramped up initiatives on the local front in particular markets, and those are beginning to bear fruit. Also, in the broadcast side, and Craig may want to comment on this further, we’ve seen a very, very nice pickup on both the revenue side as well as the traffic on our broadcast website.
Craig A. Dubow, President and CEO: There has been a very, very concerted effort to that end and the local sites are frankly becoming far more robust and providing very local information, and to that end the broadcast group is really focused on business development within that, and that will also create not only the online but also further opportunities of on-air advertisers. So, we’re nice pickup, it continues, but the real focus, as I said earlier in the prepared comment, are local types of information, and we’re having very, very solid response there.
Debra Schwartz, Credit Suisse: Great, that’s helpful, thanks.
Operator: Next is Fred Searby with JP Morgan.
Fred Searby, JP Morgan: Hi, good morning, thank you. One question, please tell me what your response is or reaction to both Kevin Morton’s and Jay Smith’s comments over the past week or so?
Douglas H. McCorkindale, Chairman: This Doug Fred, what did they say that we’re supposed to be commenting on?
Fred Searby, JP Morgan: Well, Kevin Morton was basically saying he’s looking for more help from the newspapers in pushing his argument forth.
Douglas H. McCorkindale, Chairman: Yeah, he said that at the NAA Convention in Chicago last week when we were there, and we talked to him privately about that, and we’re all supportive of his efforts. It’s a question of getting the third Republican commissioner on board and then moving forward, and the Chairman has been very straightforward in his views that we have to move the today’s media world and get rid of rules that were passed twenty or thirty years ago that have no relevance.
Fred Searby, JP Morgan: Great, thank you.
Operator: Next is Christa Quarles with Thomas Weisel Partners.
Christa Quarles, Thomas Weisel Partners: Hi, can you align us why the newspapers properties were down in the fourth quarter , and then just a power question, I know you all have two or three ABC stations, but Newsquest announced last week about ABC putting the contest online for free, how do you sort of respond to that as an affiliate? Thanks
Gracia Martore, Senior Vice President and CFO: Christa, on Newsquest, if my memory serves me, I think we were on an ad-revenue basis down in the 6-7% range in the fourth quarter of last year, again in pounds, so constant currencies.
Christa Quarles, Thomas Weisel Partners: So, would you characterize the market as worsening or just sort of, you know…
Gracia Martore, Senior Vice President and CFO: Clearly in the first quarter, the numbers were worse than what we saw in the fourth quarter, but in conversations more recently with out folks in our management at Newsquest there’s some sense that sales may have bottomed and a sense that things are not getting worse, but it’s going to be a little tricky with the Easter switch here, not to determine a trend from the March numbers. So, we’re just going to have to see how the April numbers turn out, look at them together with March, and then get a better handle on where things stand.
Craig A. Dubow, President and CEO: As far as the ABC announcement, what we’re looking at that as is more of an experimentation. There have been obviously a couple of advertisers that have jumped to board that as they’ve gone along, but the real question really remains in the measurement of the ad success and how that is going to be received and perceived overall. But, at this point, obviously ABC is what would appear to be further in front of the other networks in this type of experimentation, but at this point, as I said, it’s really about the measurement and the overall effectiveness, and certainly that’s unknown at this time.
Christa Quarles, Thomas Weisel Partners: Okay, thanks.
Operator: Next is Paul Ginocchio with Deutsche Bank.
Paul Ginocchio, Deutsche Bank: Thank you. I had a few questions, first, would you pay thirteen or fourteen times for NBC stations, and second, could you give us UK revenues by month of the first quarter? Thanks.
Gracia Martore, Senior Vice President and CFO: I’ll start maybe with the news clip revenues and then Craig may want to comment on the thirteen to fourteen times on television properties. I think that we indicated in our 10-K that for the full year in the UK that our revenues were about $1.1 billion to $1.2 billion, and obviously the first quarter is the lightest quarter on the revenue side. So if you are looking in pounds, now in the 150-160 million pound range for the first quarter, that’s probably about the right ballpark.
Craig A. Dubow, President and CEO: With respect to paying thirteen to fourteen times for that NBC station, Paul, I’d have to say obviously Gannett has been a very disciplined buyer for years and years and certainly that will continue. But when you look at any of these opportunities you have to consider the market factors, the growth within those areas to really make those kind of determinations, and just as a blanket statement that’s just not something that we would comment to.
Paul Ginocchio, Deutsche Bank:
Gracia Martore, Senior Vice President and CFO: Yeah, I can tell you in March that ad revenues in pounds were down about 8%, and I think that those are not just similar to the numbers for the first two months. I don’t think those are vastly different numbers for the first two months compared to March. March might have been slightly better, but we’ll get you those and call you back if there’s anything that’s dramatically different from that, Paul.
Paul Ginocchio, Deutsche Bank: Thanks very much.
Operator: Next is James Goss with Barrington Research.
James Goss, Barrington Research: Thanks for taking the question. A couple more for Craig regarding the future of the network affiliates in the changing technological environment. You know, between the Internet distribution that was just mentioned, retransmission efforts you made a comment on and the ability to get a piece of the download issue, are you looking at the affiliation potential being positive or negative, is it more of an opportunity or a threat?
Craig A. Dubow, President and CEO: I think that’s a great question. Certainly, as we look at the future, I think you all know we’ve had in place long-term affiliate agreements, and we have for years figured out the best combination of a local network relationship to really amplify our revenue opportunities. We still look at that as a very, very positive opportunity for the long term. Obviously, we are taking a look along with the networks and certainly independent of the networks as to any kind of local streaming, any kind of podcasts, and if you look around our group you’ll certainly see quite a bit of that that’s already taking place and being monotized at this time. With respect to the retransmission, again, we have agreements that are in place and are very comfortable with what we have and certainly the direction that those have gone over the last three-year period and are very comfortable as we look to the future for broadcasting.
James Goss, Barrington Research: And is there some framework in which you can get a piece of downloads, iPods or whatever form it might take?
Craig A. Dubow, President and CEO: Well, currently for the VOD applications, for any other subscription applications, we’re looking at all the possibilities. Certainly, what we have to find is most important and that’s really what is the customer suggesting they want. And as we have said many times whatever platform and whatever form, Gannet will definitely be there and that will be with our print as well as our broadcast products across the board to the meet the needs of our customers.
James Goss, Barrington Research: Alright, thank you.
Operator: Again, that’s “*” and “1” to signal. Next to Edward Atorino with the Benchmark Company.
Edward Atorino, Benchmark Co: Hi good morning. When do you start cycling through all of these pro forma numbers? Will it show up at all in the third quarter or do we have to still to wait till the fourth quarter? The acquisitions are late August, so a little bit in the third I guess…
Gracia Martore, Senior Vice President and CFO: No, we closed in late August, so we’ll still have to go through the full second quarter and part of the third quarter, and then we also have Tallahassee come on board and then the Texas and Mexico ship from being fully consolidated to the one line other operating revenues, which obviously occurred at year end. So it will be a little bit of time clearly before we cycle that. This is obviously the biggest piece.
Edward Atorino, Benchmark Co: And just expense going forward from the second quarter levels, will sort of hinge up a little bit from here, assuming you didn’t buy anything?
Gracia Martore, Senior Vice President and CFO: If we didn’t buy anything then pre-cash flow would be used to pay down debt and our interest expense would be lower, so it all depends on what little acquisitions we might be doing and what we might be doing on the share repurchase front.
Edward Atorino, Benchmark Co: My other question, have you been active lately?
Gracia Martore, Senior Vice President and CFO: We’ve put our toes back in the waters.
Edward Atorino, Benchmark Co: Okay, thanks very much.
Operator: Next is Lisa Monica with Morgan Stanley.
Lisa Monica, Morgan Stanley: Gracia, could you just give us a little bit of color on the US domestic ad revenue percent change in March as well in February, excluding USA TODAY?
Gracia Martore, Senior Vice President and CFO: Excluding USA TODAY, Lisa, we’ll have to get back to you on that, but I think we indicated that. In total pro form US newspapers were I think up about 1.5% in March and obviously USA TODAY was a negative to that. So, if you exclude USA TODAY from that, the revenue growth would have been slightly higher than that across the US newspapers.
Lisa Monica, Morgan Stanley: Okay, and then can you give us a percent change for the nondailies in the quarter, I don’t believe that was quantified?
Gracia Martore, Senior Vice President and CFO: It was in the high single digits.
Lisa Monica, Morgan Stanley: Thanks.
Operator: Next is Peter Appert with Goldman Sachs.
Peter Appert, Goldman Sachs: Gracia, with respect to the other income for a second, I assume the inclusion of Tex-Mex in that is a pretty big item, so can you give us some guidance on what that number might look like on a full year basis, specifically what the other income item might look like on a full year basis.
Gracia Martore, Senior Vice President and CFO: There are actually two pieces in that other operating revenue number. One, as you rightly point out is Tex-Mex, but the other bigger piece actually is our PointRoll acquisition, and so its results are included in that line, so that’s the other factor that’s in other operating revenues.
Peter Appert, Goldman Sachs: Okay. This is the followup question, the other income line, do you have an estimate what that would look like on a full year basis?
Gracia Martore, Senior Vice President and CFO: You mean in the nonoperating area?
Peter Appert, Goldman Sachs: Yeah.
Gracia Martore, Senior Vice President and CFO: Again, as I said earlier, it’s a number of pieces that are in that line including CareerBuilder, some of our other Internet investments, from minority interest pieces, so it’s really going to depend on what the activities are. But, as I said earlier, if you use ballparks of plus or minus $5 million depending on the quarter…I can’t really give you any better guidance from that.
Peter Appert, Goldman Sachs: That’s a mighty a big rating on a full year basis plan?
Gracia Martore, Senior Vice President and CFO: On $1.2 billion is not quite as big as it would appear.
Peter Appert, Goldman Sachs: Move to the EPS number though…
Gracia Martore, Senior Vice President and CFO: It’s simply something that I can’t sit here today and predict, and I wouldn’t want to…in one direction or another.
Peter Appert, Goldman Sachs: This is the sub-followup question, do you have the numbers on CareerBuilder revenue performance for the first quarter?
Gracia Martore, Senior Vice President and CFO: Yes we do. If you’ll bear with me for one second, we’ll pull them out. CareerBuilder Network revenues increased 46% for the first quarter compared to the first quarter of ’05 and their network traffic averaged about 22 million visitors, which was up about 7% from March of last year.
Peter Appert, Goldman Sachs: Great, thank you.
Gracia Martore, Senior Vice President and CFO: Let me make one correction on domestic advertising revenues for just the month of March. They were actually up 1.9%; the 1.5% was for the full quarter, though they would have been obviously a little bit better than that if you exclude USA TODAY.
Operator: We’ll go next to Robert Shipman with Credit Suisse.
Robert Shipman, Credit Suisse: Hi, you guys have got a tremendous amount of firepower on this balance sheet. You obviously have more firepower than your competitors, maybe you can give us a little bit of color on why you decided to pass on the Knight Ridder properties? And then in line with that, bond holders are worried on what you just said M&A opportunity and the stock being down significantly, why would you term out some of your debt if this continued focus is going to be on debt reduction in the near term? Thanks
Gracia Martore, Senior Vice President and CFO: First up, I don’t think we said that our focus necessarily was going to be on debt reduction in the short term. In fact, I think I said, we had dipped our toes back into the water on the share repurchase front. There were also other some other small acquisition opportunities that we were looking at. So, I hope that I didn’t leave you with the impression that I said that we were totally focused on debt repayments in the short term.
Douglas H. McCorkindale, Chairman: Robert, we’ve said publicly numerous times that we had many, many overlaps that did not have easy solutions; that’s very relevant to the Chairman of the SEC’s comments just last week. I think we had six or eight significant overlaps with what has been very disruptive in trying to do a transaction with Knight Ridder.
Robert Shipman, Credit Suisse: Okay. With so much balance strength, though, there really are very few acquisition opportunities, how do you think about this capital structure going forward? I mean, historically having a stronger balance sheet may have made some strength, but why not lever this balance sheet over time?
Gracia Martore, Senior Vice President and CFO: You know it’s interesting because we can’t look at what the acquisition opportunities are just in a two-month period of time. If we had been talking in July of last year, we would have been talking about very small opportunities out there and then very short order North Clip came up in the UK and then the Knight Ridder properties came up in the US. Similar in, I guess it was in 2000 or 2001, we started the year and it didn’t look like there was much in the way of activity and then in rapid order Central Thomson and NewsCom in the UK came up, which was about $4.7 billion or so of acquisition. So, we have to manage for more long-term look of things rather than just on a month to month of what’s available in the acquisition arena.
Robert Shipman, Credit Suisse: Great, thank you. I appreciate the time.;
Operator: We’ll go next to Thomas Russo with Gardner Russo Gartner.
Thomas Russo, Gardner Russo Gartner: Hi Garcia. You had mentioned the response to the CareerBuilder that revenues were up 46%, the traffic up 7%, so is it so that the balance is in pricing?
Gracia Martore, Senior Vice President and CFO: I’m sorry Tom, I missed the last part.
Thomas Russo, Gardner Russo Gartner: Oh yeah. Is the difference between the growth rate and traffic versus growth rate and revenue, which is quiet sharp, mix or pricing? How do you get from 7% traffic growth to 46% in revenue?
Gracia Martore, Senior Vice President and CFO: I don’t think the traffic growth is in a one-to-one relationship in this side as it is for instance when we think about pages of advertising and newspaper revenue or stocks on TV and advertising revenues. So I don’t think there’s quite that close one-to-one tie, but clearly there’s obviously some tie, but I think they’ve just done very, very well and continue to have growth on the mix and the pricing opportunities now and going forward.
Thomas Russo, Gardner Russo Gartner: Okay good, and then on the Newsquest properties, revenues were down 8%, income down 19%, what would happen in the US operations, would you suspect that you have a similar decline in revenue, in terms of the leveraged impact on operating income? It seems like you were able to maintain margins on the basis of very drastic decline of revenue in the UK, what is the take and how might the US properties reflect if you had similar declines?
Gracia Martore, Senior Vice President and CFO: Well I think, Tom, you also have to look at the fact that in the UK they’re dependent on classified advertising, particularly employment is a little bit more significant than it is in the US. I think that classified revenues in the UK make up about 69% or 70% of their revenues or that number in the US is more in the 45’ish percent range. So, there’s more leverage off of that very important employment classified category that is probably even a little bit more profitable for them even on the margin than it is for us here in the US, and there are growth factors that are different between the US and the UK that would have to enter into that equation. We’ve obviously seen in the US in 2001 and 2002 employment revenues down in the 50% range depending on the company. We all can track it down and look at what those results were back in 2001, but again, classified is less of the pie here in the US than it is in the UK.
Thomas Russo, Gardner Russo Gartner: Okay fine, and then lastly, any observations, direct or indirect on the re-marketing of Knight Ridder properties, what are you hearing, what is your level of involvement?
Douglas H. McCorkindale, Chairman: Tom, we are not involved, this is Doug.
Thomas Russo, Gardner Russo Gartner: Okay Doug. Thank you.
Gracia Martore, Senior Vice President and CFO: Thanks Tom. I think we have time for one more question.
Operator: We’ll take that final question from Dan Jenkins with State of Wisconsin Investment Board.
Dan Jenkins, State of Wisconsin Investment Board: Good morning. Kind of following up on Rob Shipman’s question, I know your credit metrics have weakened quite a bit from a year ago like your operating cash flow coverage is down to about 7.5 times from 11.4 a year ago and your balance sheet leverage is obviously as well. I guess my question is how much further would you see yourselves pushing those metrics given the fact that your share prices are at a four-year low and as acquisition opportunities present themselves, would you spend an excess of free cash flow given those in a way you’re set right now?
Gracia Martore, Senior Vice President and CFO: Well, I think as we’ve done historically, when we have seen investment opportunities that we believe will add significant value to the company and to our shareholders and also our bond holders, then we will leverage up the balance sheet as we did, as I mentioned, in 2000-2001, as we did frankly back in 1995 when we did the multimedia acquisition, but then we are very focused on paying down the debts because, again, as we have consistently said, we very much want to be a strong investment grade company, and so we will continue to be focused on balancing all of those factors -- acquisition, share repurchases, and the like, to continue to maintain our profile as a strong investment-grade company. But from time to time, we will lever up a bit and then if you look at our 15-20 year chart, historically we’ve been focused on bringing the debt down and then we’ll re-lever again if the right opportunity and right investments come along.
Dan Jenkins, State of Wisconsin Investment Board: I guess my followup would be, what would be the higher priority for use of your cash given the way your share prices, would it be share buybacks or would it be US paper acquisitions or UK paper acquisitions or perhaps broadcasting, is there any area that you see as maybe a higher priority for your cash currently than another?
Gracia Martore, Senior Vice President and CFO: The highest priority would be to bring the best results to the company, and we’re fairly agnostic as to whether that’s in the UK or the US or it’s in newspapers or broadcast or on the digital front. Whatever will create the most value for our shareholders is where we are interested in investing, as it has been for the last early something years that Doug has been at the company and continues to be. So, we’ll just keep that same discipline and that same focus going forward.
Douglas H. McCorkindale, Chairman: Dan, we’ll just go where we can make the most money for the shareholders. There’s a whole series of opportunities out there and we don’t say we have to be bigger in broadcasting or bigger in print, we’ll go where we can make money. We can broadcasting stations that are not well run or at least as well run as Gannett can do it and make a lot of money, we can buy the Clipper of this world, which we do very, very well, we can do things in the digital world or we can do all of them at the same time to bring the most money to the bottomline and to improve the cash flow, so there’s no game plan that you only have to do one.
Dan Jenkins, State of Wisconsin Investment Board: Okay, thank you.
Gracia Martore, Senior Vice President and CFO: Thanks very much. Ernie…
Operator: Yes, I’ll turn the conference back to you Ms. Martore for any closing comments at this time.
Gracia Martore, Senior Vice President and CFO: Great, thanks very much for joining us this morning and if you have any other further questions, feel free to call Jeff Heinz at 703-854-6917 or me. Have a great day.
Operator: This does conclude today’s conference. We thank you for your participation, you may disconnect at this time.